Operator: Good afternoon, and welcome to the Third Quarter 2025 Connection Earnings Conference Call. My name is Marvin, and I'll be the coordinator for today. [Operator Instructions] As a reminder, this conference call is the property of Connection and may not be recorded or rebroadcast without specific permission from the company. On the call today are Tim McGrath, President and Chief Executive Officer; and Tom Baker, Senior Vice President and Chief Financial Officer. I'll now turn the call over to the company.
Samantha Smith: Thank you, operator, and good afternoon, everyone. I will now read our cautionary note regarding forward-looking statements. Any statements or references made during the conference call that are not statements of historical fact may be deemed to be forward-looking statements. Various remarks that management may make about the company's future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2024, which is on file with the Securities and Exchange Commission as well as in other documents that the company files from the commission from time to time. In addition, any forward-looking statements represent management's view as of today and should not be relied upon as representing views as of any subsequent date. While the company may elect to update forward-looking statements at some point in the future, the company specifically disclaims any obligation to do so other than as required by law, even if estimates change. And therefore, you should not rely on these forward-looking statements as representing management's views as of any date subsequent to today. During this call, non-GAAP financial measures will be discussed. A reconciliation between any non-GAAP financial measure discussed and its most directly comparable GAAP measure is available in today's earnings release and on the company's website at www.connection.com. Please note that unless otherwise stated, all references to third quarter 2025 comparisons are being made against the third quarter of 2024. Today's call is being webcast and will be available on Connection's website. The earnings release will be available on the SEC website at www.sec.gov and in the Investor Relations section of our website at www.ir.connection.com. I would now like to turn the call over to our host, Tim McGrath, President and CEO. Tim?
Timothy McGrath: Thank you, Samantha. Good afternoon, everyone, and thank you for joining us today for Connection's Q3 2025 Conference Call. I'll begin this afternoon with an overview of our third quarter results and highlights of our performance. Then Tom will walk us through a more detailed look at our financials. I'm pleased to share that our third quarter was another solid one for the company. We continue to execute well, delivered record gross profit and expanded our margins despite some expected headwinds in parts of the business. Our overall results this quarter highlight our success in higher-value solutions, deeper customer relationships and consistent operational execution. Let's start with the overall results. Gross profit increased 2.4% year-over-year to $138.6 million, the highest in our company's history. Gross margin expanded 90 basis points to 19.6%, driven by strong growth in cloud software, cybersecurity and services, all recognized on a net basis. Our Business Solutions and Enterprise Solutions segments both performed well with gross profit up 7.8% and 3.4%, respectively. As anticipated, the public sector business experienced some challenges this quarter given the timing of some large federal projects and ongoing funding uncertainty at the federal, state and local levels. We believe the budget issues have caused a temporary pause, not a shift in our long-term demand. Total net sales were $709.1 million, down 2.2% from last year. The decline is largely the result of a decrease in net sales in the Public Sector Solutions segment, driven by large federal projects previously mentioned that did not repeat in Q3. If you exclude those, underlying sales were healthy, especially in cloud, storage and services. Now let's take a look at the segments. In Business Solutions, we saw another strong performance. Net sales grew 1.7% to $256.8 million, while gross profit increased 7.8% to $68 million. Gross margin reached a record 26.5%, up 150 basis points year-over-year. These results reflect the continued strength of our cloud and cybersecurity offerings, 2 areas in which we built recurring profitable revenue streams. In Public Sector Solutions, net sales were $132.5 million, down 24.3% from a year ago. The decline was driven by the timing of federal projects and reduced funding at the federal, state and local level. Even with lower revenue, gross margin increased 230 basis points to a record 17.2%. Thanks to a higher mix of cloud and cybersecurity solutions sales. Once funding cycles normalize, we expect this segment to rebound. And in Enterprise Solutions, net sales grew 7.7% to $319.8 million, led by strong demand for advanced technologies and endpoint devices. Gross profit was up 3.4% to $47.8 million. Gross margin came in at 14.9%, down slightly due to changes in subscription license programs and software mix. The important takeaway is that we're continuing to win business in high-growth areas, particularly in AI infrastructure, data center modernization and edge computing. Turning to profitability. Operating income was flat year-over-year, showing good cost discipline despite continued investments in areas of our business that will drive future growth. Net income was $24.7 million compared with $27.1 million last year, which included a onetime legal settlement and higher interest income. Diluted earnings per share came in at $0.97, down $0.05, while adjusted diluted earnings per share was also $0.97, flat from the prior year, another sign of earning consistency despite the challenges in the public sector environment. Looking ahead, our strategy remains clear. We're focused on expanding our solutions-led business, deepening customer relationships and driving profitable growth in cloud, cybersecurity, AI and services. We're seeing strong engagement from customers who are modernizing their infrastructure and investing in AI-driven technologies. These are areas where we bring real customer value and where we expect to see continued momentum. While funding cycles and project timing can affect quarter-to-quarter results, we believe the long-term trends are all moving in the right direction. Our record gross profit, expanding margins and growing base of recurring and solution-driven revenue give us confidence as we finish the year and head into 2026. I'll now turn the call over to Tom to discuss additional financial highlights from our income statement, balance sheet and cash flow statement. Tom?
Thomas Baker: Thanks, Tim. In the third quarter, SG&A expenses increased 2.9% year-over-year, primarily driven by higher personnel-related costs. We continue to take a disciplined approach to expense management. Notably, our headcount is down 2.8%, which has enabled us to keep our total payroll costs flat compared to last year. As a percentage of sales, SG&A increased 80 basis points to 15.3% of net sales compared to 14.5% in the prior year quarter, reflecting both the impact of higher benefit costs and sales mix dynamics. Operating income margin improved slightly to 4.3% compared to 4.1% last year, reflecting continued focus on profitability despite cost pressures. Interest income for the quarter was $3.7 million compared to $4.9 million last year, mainly due to lower average cash balances and lower interest rates during the period. Our effective tax rate for the quarter was 27.1%, up from 26% in the prior year. As a result, net income for the third quarter was $24.7 million compared to $27.1 million last year, a decrease of 8.6%. Diluted earnings per share were $0.97, down $0.05 year-over-year, while adjusted earnings per share remained flat at $0.97, demonstrating the underlying stability of our earnings profile. On a trailing 12-month basis, adjusted EBITDA was $122.7 million compared to $123.6 million a year ago, essentially flat year-over-year, reflecting continued operational consistency. During the quarter, we returned capital to shareholders through both dividends and share repurchases. We paid a quarterly dividend of $0.15 per share and repurchased approximately 84,000 shares at an average price of $61.21 per share for a total cost of $5.1 million. Year-to-date, we've repurchased over 1 million shares at an average price of $63.17 for a total cost of $65.4 million. At quarter end, $44.3 million remained available under our existing share repurchase authorization, providing continued flexibility to return capital to shareholders. We also announced today that our Board of Directors declared a quarterly dividend of $0.15 per share payable on November 28, 2025, to shareholders of record on November 11, 2025. Turning to the balance sheet and cash flow. Operating cash flow for the first 9 months of 2025 was $38 million. This reflects a $40 million increase in inventory and a $6.5 million increase in accounts receivable, partially offset by an $11.9 million increase in accounts payable. The increase in inventory was intentional, tied to our decision to stage inventory earlier in the year to support customer rollouts, and we continue to work that inventory down. The increase in accounts receivable was primarily due to the timing of customer payments. Cash generated from investing activities for the first 9 months of 2025 totaled $49.3 million, driven by $108.8 million in proceeds from the sales of investments and $101.3 million in investment maturities, partially offset by $155.6 million of new investment purchases. Cash used in financing activities for the first 9 months of 2025 was $77.8 million, reflecting our ongoing share repurchase activity of $65.5 million and dividend payments of $11.5 million to shareholders. We ended the quarter with a strong liquidity position, $399.2 million in cash, cash equivalents and short-term investments, which we believe provides ample flexibility to support our strategic priorities and shareholder returns going forward. Overall, we remain confident in the strength of our balance sheet, the resilience of our business model and our ability to execute with discipline. While we continue to manage through a dynamic cost environment, our focus remains on driving sustainable growth, improving operational efficiency and creating long-term value for shareholders. We believe our continued commitment to prudent capital allocation, margin discipline and strategic investment positions us well for the remainder of the year and beyond. I will now turn the call back over to Tim to discuss current market trends.
Timothy McGrath: Thanks, Tom. We executed well on our 3-part growth strategy, driving data center modernization, digital workplace transformation and supply chain solutions against the backdrop of a challenging economic environment. Let me take a moment to walk through how our key verticals performed. In retail, we saw another strong quarter. Net sales grew 25% and gross profit was up 42% year-over-year. Retailers are really leaning into improving customer experience and several large brands chose Connection because of our proven ability to deliver tailored vertical market solutions. In financial services, net sales were up 23% and gross profit increased 19% year-over-year. The focus here remains on modernizing infrastructure and improving resiliency, areas where our solutions and expertise continue to resonate. Manufacturing grew 8% in net sales and 28% in gross profit year-over-year. This segment continues to navigate a lot of macro challenges from trade dynamics and inflation to workforce shortages and higher input costs. We've heard from many of our customers that these pressures are affecting demand and future outlooks. That said, manufacturers are turning to Connection as a trusted partner to help modernize their operations, upgrade their legacy systems and adopt AI, cybersecurity and new infrastructure solutions that their in-house teams may not be equipped to manage on their own. As we look ahead, we're encouraged by several technology trends driving our pipeline and customer activity. The PC refresh continues as customers gradually replace their aging systems with higher-performing AI solutions. Data center modernization is gaining momentum, especially as customers repatriate workloads from the public cloud to get more cost predictability, better security and the benefits of server consolidation. AI-driven demand across the edge, security and smart endpoints continue to expand. Unstructured data at the edge is fueling demand for next-generation storage solutions. We're continuing to grow our technical services organization, helping customers design, implement, migrate and manage their IT infrastructure end-to-end. And we're investing in training and tools to ensure our teams are fully equipped to guide customers through AI and next-generation architectures. As we move into the fourth quarter of 2025, our backlog remains strong. In fact, it ended Q3 at its highest level in nearly 2 years, largely driven by our enterprise business. We feel confident about where we're headed, and we're continuing to invest in projects and programs that strengthen our sales capabilities, service delivery and systems, all while maintaining disciplined about cost management and productivity. We're positioning Connection for sustained long-term growth, and we believe we can outperform the U.S. IT market by 200 basis points for the rest of the year. Our strategy remains tightly aligned with how customers are evolving in the way they deploy, consume and manage technology. We help them navigate the complexity, modernize their infrastructure and make confident informed decisions. In a world where technology changes fast, expertise wins, and that's where Connection continues to differentiate. We'll now entertain your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Adam Tindle of Raymond James.
Adam Tindle: I just wanted to start with some of those last comments there, Tim, where you were talking about some of the forward indicators that looked very positive here. I just wonder how you're thinking about year-end and Q4 being a typical budget flush year. What you're seeing here in the first month of Q4 relative to what you experienced in Q3? And is there a case to be made here that we might return to growth on the top line in Q4?
Timothy McGrath: Well, thanks, Adam. So yes, in our Enterprise segment, there's -- for the first time in many quarters, there is talk of budget flush. We do see our pipeline building there and a number of projects and opportunities that could well pass through the fourth quarter. So enterprise has some good solid momentum. Also, I think our Business Solutions group has some good momentum and forecasting a good Q4. The wildcard remains our Public Sector business. The question really becomes when will that recover? We know that's going to happen. The timing, though, is still a big question mark.
Adam Tindle: Got it. Okay. And I wanted to ask about the backlog. I think you talked about Q3 backlog was the largest in years. I wonder just what's leading to that? Is this something -- I would imagine you would have liked to have shipped more, obviously, in the quarter. if I look at sort of the revenue numbers. So is this something that's -- that backlog is building because of incremental supply challenges? Or is it more the customers putting off projects and not wanting to accept delivery? Just some of the rationale for why that backlog build is happening and when you think it ultimately unentangles here?
Timothy McGrath: Well, thanks, Adam. I'll start, and I'll let Tom come in behind me. But clearly, the majority of our backlog is all customer-driven. I think it's solid. I don't feel there's any risk in our backlog, but it's absolutely customer-driven and the delays on the customer side.
Thomas Baker: Adam, I'd say a couple of things. One, when you look at our revenue line, we had a lot of software and cloud in our numbers this quarter. And while that's a real headwind for the revenue line, the -- obviously, it came through in the gross margins were over 19.5%. So I think when you look at the gross profit line growing, 7.8% for PSG was pretty good and Enterprise numbers up as well. So I feel like things are better maybe than you look at the first glance that revenue line with the notable exception of Public Sector, which we had a really large rollout last year, and some of that will fall into next quarter as well. So we're thinking sales mid-single digits next quarter year-on-year. That's kind of how we're thinking.
Adam Tindle: Okay. That's super helpful. Yes, and that makes sense to kind of disaggregate and look at gross profit dollars. I guess maybe just last one for me real quick, and this is probably way too early to tell. But as you start to hear back from your vendors and your sales force and sort of the early indications on 2026, Tim, you mentioned PC refresh continuing. I think there's some fear that, that's going to create some difficult comparisons in 2026. And just as we think about the year in total and budgets, sort of the moving parts and how your early take is on what IT spending will look like next year?
Timothy McGrath: So to begin with, we talk a lot about gross profit being a better indicator just based on the amount of solutions that are delivered on a net basis. But clearly, 2025 didn't prove out to be the year that the analysts and the pundits anticipated. And if we begin with the PC refresh, the latest numbers show that in terms of conversion to Windows 11, about 60% of the population have made that conversion. So we think the refresh will still continue, but definitely at a lower pace. We just didn't see Windows 11 get the adoption and the time lag that we did see with Windows 10. But still a case for refresh continues. And as you know, the productivity around the newer technology clearly makes that case. And the same is true when we think about the data center server consolidation, for example, many of our customers are looking at the ability to take 10 servers and bring them down to 2 or 7 servers and bring them down to 1. The power savings alone offset a lot of that expense and the productivity gains and the improvements in security really make that a very strong value proposition. So for 2026, we see continued growth in data center, continued growth in cloud, in cyber. And we see certainly AI PC perhaps leveling off, but will continue to deliver some good results for us. So overall, we're thinking about mid-single digit for 2026 with the understanding that could go well above that as things start to normalize.
Operator: And our next question comes from the line of Anthony Lebiedzinski of Sidoti.
Anthony Lebiedzinski: Nice to see the record performance for gross profit. So first, maybe if you could just comment on the cadence of your sales during the quarter. And I know there was some noise, obviously, with the netting as well. But just overall, maybe can you speak about the demand trends that you saw as you went from July through September?
Thomas Baker: Yes. July was like 34-ish percent, 33%. August was down a bit and then September proved to be the best of the quarter. I think it was like 35%. So I think that's pretty typical, Anthony, when I look back at the past few years.
Anthony Lebiedzinski: Got you. Okay. And then just thinking about the Public Sector, obviously, it was down here in the quarter. As far as it relates to the federal government shutdown, did that have -- is that having an impact on your fourth quarter numbers now? Or how do we think about the potential impact that may have?
Timothy McGrath: Anthony, So thanks. Obviously, the federal government being shut down does affect the quarter. We're trying to forecast when we think that will change. But for right now, we clearly have orders and products that we can't ship because there's nobody there to receive them. And the longer this goes on, the more that will challenge the Public Sector business in the quarter. So we're hoping this gets resolved. And when it does, we're hoping that we have that demand catch up and we finish back on plan. But for right now, it's a big concern.
Anthony Lebiedzinski: Understood. Okay. And I know, Tim, you also talked about your expectations for the fourth quarter and a little bit for next year. That was more on the, I guess, on the revenue side. As far as just thinking about gross margins and your ability to leverage expenses, how do we think about just overall profitability as it relates to gross margins and operating margins here going forward?
Thomas Baker: Yes. So the caveat of Public Sector is a little bit of a wildcard. We're thinking kind of mid-single digits year-over-year next quarter for growth. The margins -- the gross margins, I don't think will be as high as they were this quarter because I don't see all the same mix of cloud and software revenues coming through that could netted down. So I think probably year-on-year margins will be about flat. And then spending next quarter, depending on how high the revenues so probably be a little bit higher than this quarter in terms of G&A.
Anthony Lebiedzinski: Okay. Got you. And then lastly for me, as far as just thinking about your strong cash position, are you still looking at potential acquisitions? How do we think about that?
Timothy McGrath: Thanks. So there's a lot of activity out there. We continue to look at tuck-in acquisitions that would enhance some of our solutions capability. And so we've got our eye out there. We're looking. But at this point, nothing to report.
Operator: This concludes the question-and-answer session. I'll now turn it back to Tim McGrath for closing remarks.
Timothy McGrath: Thank you, Marvin. So I'd like to thank all of our customers, vendors, shareholders for their continued support and once again, our coworkers for their efforts and extraordinary dedication. I'd also like to thank all of you listening to the call this afternoon. Your time and your interest in Connection are appreciated. Have a great evening.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.